Operator: Good morning, everyone. Welcome to the Dundee Corporation Fourth Quarter and Full Year 2020 Results Conference Call. Listeners are reminded that certain matters discussed in today's conference call, or answers that may be given to questions asked could constitute forward-looking statements that are subject to risks and uncertainties relating to Dundee Corporation's future financial or business performance. Actual results could differ materially from those anticipated in these forward-looking statements. The risk factors that may affect results are detailed in Dundee Corporation's fourth quarter and full year 2020 management discussion and analysis and other periodic filings and registration statements. You can access these documents at -- under the company's profile at sedar.com. I'd like to remind everyone that this conference call is being recorded today, Wednesday, March 31, 2021. On this call management of Dundee Corporation will be quoting dollar figures. All figures are in Canadian dollars unless otherwise noted. Participating on this call will be Jonathan Goodman, President and CEO of Dundee Corporation; and Bob Sellars, Executive Vice President and CFO of Dundee Corporation. At this time, I would like to introduce Mr. Jonathan Goodman to provide an update on the quarter. Please go ahead Mr. Goodman.
Jonathan Goodman: Thank you, Operator. Before I begin, I just want to state that we realize these statements and the news release got out a little later last night than we had planned. And if anyone does have questions that they -- that haven't been addressed in the call and have some questions that they uncover later, please don't hesitate to contact us. And the best way is to Greg DiTomaso whose contact is on the news release and we will be happy to answer your questions. Good morning, everyone, and thank you for joining us today. With me on the call is Bob Sellars, Dundee's Executive Vice President and Chief Financial Officer who will go over our financial performance. Dundee Corporation released its fourth quarter and full year 2020 financial results at market close -- well, a little later than market closed yesterday. You can find our consolidated financial statements and MD&A on the Dundee Corporation website or under our profile on sedar.com. Turning to slide 3. In 2020, we continue to execute on our strategy of transforming the company into what we call Dundee 2.0. Dundee 2.0 means bringing Dundee Corporation back to its roots as an active investor focused on delivering long-term sustainable value for its shareholders and partners through investments in the mining sector. Historically mining investment has been the area where we have been the strongest where we have generated the greatest returns and where we see the best investment opportunities. When I rejoined Dundee, my vision has been to recreate the structure and culture that led to our past success. To this end, we have built up our mining merchant banking capabilities and have assembled one of the strongest investments and deal teams in the industry. With significant mining, metallurgy, geology, ESG and capital markets expertise, our team has considerable experience on all sides of the deal on the ground, in the capital markets and running publicly traded mining companies. Our technical team is able to conduct deep due diligence to help ensure the company is making fully informed investment decisions. This expanded merchant banking capacity is a major competitive advantage that will help guide and finance companies through the derisking process from acquiring a prospective land package all the way to the value realized -- realization phase to ultimately operating an asset that generates cash flow. Moving to slide 4. Dundee's strategy and transformation has three main components. One, doing more private equity-style mining deals and setting up our mining group for continued profitability. Two, rationalizing our portfolio of legacy investments and subsidiary companies. And three, streamlining our capital structure and reducing corporate G&A and cash overheads. I am pleased to say that in 2020, we have made progress in all fronts. Looking at slide 5 in 2020 and into early 2021, our group Dundee Goodman Merchant Partners was engaged on a number of transactions and advisory mandates. Our team made investments in seven companies over the past 12 months that we believe have exciting upside and I'm going to highlight a few of them here. Saturn Metals who own a significantly undervalued high prospective gold project in Western Australia. This property hosts a continuous near-surface low grade gold that exhibits the potential for a very long life asset at a low operating cost. Centaurus Metals, they have an extremely exciting high-grade nickel sulfide deposit located in Brazil. The current resource states 58.6 million tonnes grading 0.95% nickel, containing 557,800 tonnes of contained nickel. They just completed a scoping study that has a 54% IRR, 1.9-year payback and US$178 million capital costs and we believe that the project has more potential than that. At the current nickel price this deposit holds an in-situ value of over $10 billion. We currently own 5.1% of Centaurus. Maritime Resources who have an excellent management team developing the Hammerdown Gold deposit in Newfoundland, which we believe will have a low start-up capital cost, a quick payback and significant exploration upside. And the final one I'm going to highlight today is Big River Gold. So -- and that's not the final one I think. Big River Gold, who are developing a fully permitted plus two million-ounce Borborema Gold deposit in Brazil. Big River has completed multiple feasibility studies on the project, and they are currently derisking the potential of looking at integrating an expansion from two million to four million tonnes a year into their current studies. We also made a 7% investment in Ausgold, who are expecting a new resource estimate in the coming days, which we believe will demonstrate significant value. We own convertible debentures for about 7% of Atico Mining. And most recently we did a deal to acquire 7% of Moneta Porcupine Mine, which has a superb management team and more than eight million ounces of gold in the Timmins mining camp in Ontario, which we believe has the potential to be significantly larger than that. Turning to slide six. Our mining investment portfolio performed well in 2020. In March 2020, we launched our New Ventures Equity Fund, which is a venture capital mining fund with the principal investment strategy to invest in a portfolio of public and private mining companies. This fund is managed by Matthew Goodman, with the help from the rest of our mining team. The market value of the New Ventures Equity Fund depreciated from $12.7 million on March 31, 2020 to around $23 million as of December 31, 2020, representing an 81% increase. During 2020, Goodman & Company, Investment Counsel recognized financial service revenue of $2.1 million from the services provided by Dundee Goodman Merchant Partners, a division of Goodman & Company Investment Counsel, consisting of finders' and advisory fees. Goodman & Company Investment Counsel grew its assets under management by 86% from $45.5 million at the end of December 2019 to $84.8 million at the end of December 2020. As part of our mining strategy, we continue to look at ways to generate cash flow attracting third party capital to deals that can help us generate more fee business. With that at scale, we can also increase our participation in deals and grow our positions in these companies. Moving to slide seven. Despite the recent pullback in metal prices, we remain bullish on the integral role mining needs to play in the future of the world's economy. Whether it’d be gold as a hedge against inflation and rising global debt levels or battery metals being integral to building green infrastructure and transitioning to a low-carbon future, we are investing in that future. We still see attractive investment opportunities in the mining sector for undervalued assets. We remain focused on investing in high-quality assets that can be profitable at any point in the cycle not just today. Turning to our legacy assets on slide eight. Rationalizing our legacy portfolio of operating companies remains the top priority. In May of 2020, we monetized a portion of our debt -- investment in Dundee Precious Metals through a secondary offering where we sold 23.9 million units consisting of shares with a half warrant at $6.35 and netted $146 million. In Q4 2020, we did an early exercise of 7.6 million DPM warrants during a time of market uncertainty at $7.60 price and generated a further $56.6 million. As I have mentioned on prior calls, the nature of communicating progress on these deals are challenging, as no one can announce anything until it's complete. That said, we've made real progress in divesting some of our non-core assets. The COVID-19 pandemic has certainly made asset divestitures more challenging, especially with performing due diligence and face-to-face meetings, but we are working hard to get these deals to the finish line. I want to make it clear that while we're committed to rationalize this portfolio, we still take asset allocation very seriously. We are engineering orderly professional exits from these business lines that are no longer aligned with our longer-term strategy while minimizing their cash drain wherever possible. Accelerating this is a major goal for 2021. On slide nine, our third strategic objective is to streamline our capital structure and lower our G&A. We took several steps in 2020 and early 2021 to advance this. In September of 2020, we did a substantial issuer bid on our Series 2 Preferred Shares. We accorded -- acquired $49 million par value shares for $38 million, which would lead to annual savings of $2.6 million in dividends. In November of 2020, we announced that we would purchase approximately $14 million of our Class A, subordinate voting shares under substantial issuer bid at $1.40 a share. We completed the substantial issuer bid in early 2021, and reduced our Class A shares issued and outstanding by 14.3%. Also, subsequent to year-end, we announced a normal course issuer bid to purchase for cancellation up to 10% of the float on three share classes. The company's Class A subordinate voting shares, cumulative five-year rate reset first preference shares, Series 2 and Series 3. These transactions are prudent uses of capital at our current share price. They also align with our goal of returning cash to shareholders when appropriate. While Bob Sellars will provide more detail on the company's G&A cost shortly, I do want to highlight on slide 10 that we're continuing to look for ways to reduce our cash overhead in 2021 and more closely aligning the interest of management with our shareholders. In 2020, we reduced our G&A cost at our head office before non-cash stock-based compensation by 10%. I see a number of ways that can bring costs down even further and we'll be working to make this trend continue into 2021. Before I hand the call over to Bob Sellars to provide an overview of our financial results, I'd like to take a moment to thank Bob, who just announced his retirement for his outstanding service and contribution to the company over the years. Bob will be staying on with the company through our first quarter reporting and will stay on in a consulting capacity to ensure a seamless transition for the role. On behalf of the company, I wish you all the best in your retirement Bob. I would also like to welcome Lila Manassa Murphy, who will be assuming the role of CFO effective May 14, 2021. She will begin the transition tomorrow, as she's going to join us initially as a consultant until -- so that will make the transition even more seamless. Ms. Manassa Murphy has been on the Dundee Board since 2018 and has deep industry expertise in the natural resource sector. We believe her skill set and experience is a great match for the company's current strategic direction and will be invaluable in accelerating Dundee's ongoing transformation. With that, I'd like to turn the call over to Bob Sellars for a review of our financial performance. Bob?
Bob Sellars: Thank you, Jonathan. On the $38 million of preferred that we bought in and Jonathan mentioned the $2.6 million dividends, the savings on the dividends also have the added benefit of saving approximately $1 million a year in dividend tax. At quarter end, the market value of publicly traded securities had decreased to $109 million as of December 31 from $170 million at September 30, which is really reflecting the sale of the Dundee Precious shares Jonathan mentioned on the early exercise of warrants and net of other mining acquisitions. The DPM share price decreased from $9.48 at September 30 to $9.15 at December 31, on the 4 million shares -- approximately 4 million shares that we still have on our books. UHIC reported a $2.3 million gain in Q4 on the carrying value of its royalty and contingent consideration on the base of oil, though reported a year-to-date loss of $130 million, mostly in the first quarter, as a result of COVID and the collapse of oil during COVID. We continue to monitor the effect of the global oil markets on future carrying value, as well as the ongoing change in operations of Delonex. In the first quarter, the B.C. Lottery Commission suspended all casinos, which has continued to this date in the current environment. Hotel activities have started up, though activity is still slow. Android had plant closures in Europe, China, United States, Canada, Mexico and Brazil, but all plants are back up as operational and the fourth quarter results for Android were very good. The corporate employees continue to work-from-home with little disruption to operations. The fourth quarter pretax gain was $34.5 million, compared to a pretax gain of $7.6 million in 2019. The Q4 gain on the UHIC royalty as I mentioned was $2.3 million, compared to an $18 million loss in 2019. The corporation's carrying value of the royalty contingent consideration, cash and receivables is now at approximately $38 million. Again, as I said, we will continue to monitor developments at UHIC and Delonex. As mentioned, in Q1, we have written our investment in part to nil, resulting in an $11 million charge in the first quarter and we continue to -- are monitoring developments in that business and with the partners. The investment portfolio had an increase of $21.6 million in Q4, primarily from a fair value increase of $29.6 million in TauRx and it was offset by mining portfolio reductions such as Dundee Precious. Blue Goose had a gain of $1 million in the quarter compared to $534,000 loss in 2019 and had a year-to-date loss of $2.3 million, significantly better than the 2019 loss of $17.8 million, but the 2019 loss included a $10 million impairment. The other subsidiaries of GCIC, Dundee Sustainable, AgriMarine and Dundee 360 had a combined loss of $1 million compared to approximately $1.3 million loss in Q3 of this year and $518,000 loss in Q4 2019. The equity accounted gains were $2.1 million in Q4 compared to $426,000 gain in the prior year and was primarily a CAD 3.1 million gain in Android as our share of the earnings offset with a CAD 1 million write-down on the investment in Dundee Sarea. The year-to-date equity loss accounted results was a loss of CAD 5.4 million with a CAD 2.5 million gain and a CAD 7.7 million loss in Dundee Sarea. And this is nonrecurring. We have written Dundee Sarea up to 0, so we will not be having any further loss on Dundee Sarea. Q4 consolidated G&A was CAD 12.3 million compared to a prior year CAD 7.7 million. This year's numbers included increased severance, stock-based comp, pension settlement and restructuring costs. Year-to-date G&A was CAD 32.9 million compared to CAD 35.6 million. But again the current year reflected increased severance pension settlement stock -- increased stock-based comp and restructuring costs. At-office G&A excluding stock-based comp were CAD 7.7 million in the quarter compared to CAD 5.5 million in the prior year, but Q4 2020 included the increased severance, pension and restructuring costs. Corporate head office year-to-date, G&A excluding stock-based comp was CAD 17.3 million compared to a prior year of CAD 19.3 million. Again with the high severance, pension and restructuring costs in the current year. We continue to reduce our corporate run rate to be in a normalized range of CAD 10 million to CAD 12 million again subject to continued downsizing cost. At year-end, we had CAD 115.3 million in corporate cash and currently have approximately CAD 67 million in cash and this reflects the CAD 20 million we paid on the substantial issuer bid approximately CAD 1.5 million that we paid thus far under normal course issuer bid as well as continued investing in the mining portfolio. The remaining DPM warrants should generate CAD 32 million in May if exercised and they would be exercised if DPM is above CAD 8. And it is around -- it's slightly below CAD 8 now, but it has been for most of the year well above CAD 8. We have had no further significant developments with CRA and continue to have the CAD 12 million on deposit regarding the 2014 tax year, plus another CAD 1.8 million for 2015 and 2016 tax years. And we have these amount the CAD 13.8 million separately disclosed on the balance sheet. That concludes my comments. Back to you Jonathan. 
Jonathan Goodman: Thank you very much Bob. Turning to Slide 16. As I mentioned earlier, I'm pleased to say that we've made noticeable progress on each of our key strategic objectives in 2020 and early 2021. That said, I acknowledge there's a lot more work to be done to fully realize this transformation. Before we jump into Q&A, I'd like to outline Dundee's main long-term corporate priorities. In 2021, we are focused on executing on the following initiatives: aggressively accelerating the rationalization of our non-mining legacy investment portfolio; continuing to reduce corporate G&A expenses and bring down cash overhead to more closely align the interest of management with shareholders; raising more money for the CMP structure; reorganizing DGMP into a dealer group and a private equity-style group, we want to position the dealer group for immediate profitability; and continuing to do the private equity-style mining deals until deal flow is attractive enough to either raise the funds operate the funds of sponsor or any other structure that will bring in a stream of steady cash flow. These initiatives are integral to more efficiently allocating our capital, focusing the business on where we can achieve the best returns and setting up the company to be singularly focused on delivering and maximizing value for all of our shareholders, stakeholders and partners. To close Dundee is well positioned for a strong 2021. I'd like to thank our shareholders and partners for their continued support and employees for their confidence in our team. I'd also like to thank the whole Dundee team for the extra work they've had to do from home operating in this pandemic environment. I look forward to further updating the market on our progress next quarter. Have a great day. And now operator I'd like to open the line up for questions.
Operator: [Operator Instructions] Your first question comes from Brett Reiss from Janney Montgomery Scott. Please go ahead.
Brett Reiss: Good morning gentlemen. Bob before I ask my questions, good luck in your new fork in the road and thank you for being a gentleman and a straight shooter to me over the years. I appreciate it. 
Bob Sellars: Thank you very much. 
Brett Reiss: The -- some questions. In the United States because of higher crop prices farmland is red hot is that the case in Canada? And I know Blue Goose had a lot of grazing and farmland. Has that increased the interest potential buyers with Blue Goose? And if you could just remind us what the – in years past, there was a figure of CAD100 million possibly of value in the farm property that Blue Goose owns. Is it worth anywhere near that in present day – yes, in the present day?
Jonathan Goodman: Bob would you like to take that or?
Bob Sellars: Well, I'll take. At least on the value, we're carrying Blue Goose – let me go into the segment and information out here, but about CAD72 million in assets and the net is about CAD30 million is the – is our net carrying value of Blue Goose. So we don't think that it's – we are actively working on getting it disposed. Our net assets at Blue Goose are CAD29 million. And we don't think it will be CAD100 million but we're hoping to get as high a price as possible.
Brett Reiss: Are you getting more knocks on the door because of the increase in farm, property values?
Bob Sellars: We've gotten some likely, there's been enough interest. Mostly with people that we've been talking to. The impediment isn't that they like – they dislike the asset. The impediment is for them to get their financing in place. So we are working away with some counterparties and trying to get this thing closed. I don't know if farmland in Canada has gone up as much as the US. I'm not an expert on that. Given that the US is all south of Canada the value of the farmland might be increased because of better weather. But I can't answer your – some research.
Brett Reiss: Okay. With respect to United Hydrocarbon, because oil is above CAD45 a barrel, is Delonex to the extent you know moving forward and developing the Chad properties?
Bob Sellars: Delonex, as they've said – and public information out there that they're trying to divest of the Chad properties and they're talking to various potential buyers. There – the Warburg Pincus, who's sort of over – who has the investment in Delonex is sort of coming off of oil. So we have – we'll continue to monitor what the carrying value of that royalty is based on the mathematical model. We had increased the sensitivity risk and we changed the model in the first quarter which led to the CAD130 million write-down. So we increased the risk profile on the – and we pushed out the year for our first oil coming in and we're using a pretty high discount rate of 23%. So – and if you go and read the detailed sensitivity, no I think it's now 24%, we have various things that could affect the royalty and bring it down substantially below what we're carrying it at. And then that's why we disclosed those sensitivities. So hard to say what the liquidation is going to be.
Jonathan Goodman: Brett, it's Jonathan here. It really depends on the outcome of the process that Warburg Pincus is going through right now, which we're hoping will be – we'll know what the results are. The reality of it is while the oil price has gone up investing in oil and gas has become quite a bad word in social circles because oil is now viewed as the enemy of the people in this carbon-neutral world we're getting into. So while we still think the project is – has a lot of potential, it requires a very large deep-pocketed investor to step in. The project it's in Chad and we'll see the results and probably have a lot more to talk about at the end of the next quarter.
Brett Reiss: Okay. With respect to the cost of the business going forward, Bob you mentioned the corporate – the G&A run rate is CAD10 million to CAD12 million. With the retiring of some of the preference preferreds, what is the annual run rate on that, plus the tax liability? So I get an idea of what the rough note [ph] you have to cover for the coming year?
Bob Sellars: Yes. The remaining preferreds, so still some two and all the 3s are generally about CAD1 million a quarter, CAD900 million and change a quarter in dividends. So call that CAD3.6 million to CAD3.8 million. And then if you take CAD0.40 on the dollar being taxed, the 40% above that so another CAD1.6 million on top of that probably. We may be able to utilize those tax – as we're getting more and more profitable in some of the entities, we may be able to shelter the use of that tax going forward. But then I anticipated that we took on some restructuring costs and other severance costs that were booked in the fourth quarter of 2020. And you back out some of the one-time costs that we had through the year, I'm thinking that the corporate run rate could be in the neighborhood of CAD10 million, CAD11 million for -- going forward but unless we do further restructuring. But we're anticipating that we're going to restructure a little bit more going forward and that we're going to probably change physical locations as our lease comes up in a year from now. So, we'll spend time looking for a new location. So, that's why we accrued some costs in the fourth quarter. So, my -- our target would be somewhere in the range of $10 million to $12 million corporate expense.
Brett Reiss: Right. Now the costs -- the compensation for the merchant banking team. Is that included in the CAD10 million to CAD12 million corporate overhead run rate?
Bob Sellars: No, they're in the subsidiary GCIC. And as they generate revenues so they pay payout for performance. So, they're getting a portion of revenues generated. So, it's not part of the corporate G&A as part of the profitability business in GCIC.
Brett Reiss: Okay. Two last ones and I'll drop back because I don't want to get people angry at me. Any progress on monetization of the TauRx investment? And with respect to Dundee Sustainable Technologies, what hurdles does the GlassLock Process have to overcome and timetable before we see commercial viability of that product?
Jonathan Goodman: Brett, the first part of that question was -- can you repeat that again Brett please?
Brett Reiss: Any progress on the monetization of the TauRx investment we have?
Jonathan Goodman: Yes, there are ongoing discussions on a whole bunch of including TauRx that as I said in the talk, there's lots of progress and that until we actually have a deal on these things, it's really hard to comment, but there are numerous discussions moving forward and we are working very hard to try and put a pin in it. With regard to the Dundee Sustainable Technologies, they have two technologies as you know. One of it is the arsenic vitrification technology. And that one is quite well advanced in that they've already used that and put that in -- put in a scaled pilot plant at an operation and shown that it can work in a commercial setting. With regards to the -- was it the cyanide, the one that you asked the question about I think was--
Brett Reiss: GlassLock.
Jonathan Goodman: The GlassLock that has -- I mean right now it has been proved -- that one has been proven. And we're hopefully going to be able to announce deploying that technology in the -- in an operation in the not-too-distant future. With regards to the other technology they still -- they've announced an agreement with Newmont Mining Corporation where Newmont is testing that in their facilities and setting that up and sees it as a very prospective technology.
Brett Reiss: I'll drop back. Thank you for answering my multiple questions.
Jonathan Goodman: Thank you.
Bob Sellars: Thanks again Brett.
Operator: We have no further questions in queue. I'd like to turn the call back over. Actually we have a couple more questions. Our next question comes from [Technical Difficulty]
Jonathan Goodman: [Technical difficulty] It's a bit of a loaded question in the sense that the equity per share is fruitful. I think it's important to recognize that we're talking about accounting numbers. And I don't want to disparage accounting, but what they are -- their estimates and I think the reality of it is two of our investments have binary outcomes, that's the United Hydrocarbons and the TauRx and while we go through a lot of work to try and make sure we do a proper estimate, we're talking about two privately held assets that are either going to be worth much more than we carry them at or zero And so certainly within the rest of -- and you have to recognize that those are binary outcomes when looking at it.
Unidentified Analyst: Let's say, we assume that is zero, how much would it bring it down?
Jonathan Goodman: Well, you would probably drop it by -- there's still a discrepancy is what I was about to say, quite a big one. And part of our job on that is to go out and tell the story. And if you look at the historical assets, which are the ones we're trying to sell as we get price transparency and get those deals to the finish line my view is that gap will narrow as we take price risk off the table.
Unidentified Analyst: Okay. So getting back to that question if, let's say, we do -- or you didn't want to do an estimate if those things were as you said binary and they went to zero, would the shareholder equity drop to... 
Jonathan Goodman: At about 110 million, I think. 
Bob Sellars: Yes.
Unidentified Analyst: It would drop 110 million. 
Bob Sellars: Million. So an 80-something-million shares outstanding but... 
Jonathan Goodman: 88 million. 
Bob Sellars: Well that -- the year end when you're looking at the MD&A we're at 367 million that's with the 103,000 -- 103 million shares outstanding. And of the 99 million you remember we -- in the first quarter of 2021, we bought back all our shares that Jonathan mentioned
Unidentified Analyst: Yes. That’s right. 
Bob Sellars: Right. So you're -- what you're dividing by has changed. 
Unidentified Analyst: Okay. Okay. But you're saying it would drop it by about 100 million? 
Bob Sellars: Yes. Those two investments their accounting value at year end were about 110... 
Unidentified Analyst: Million. 
Bob Sellars: Million. 
Unidentified Analyst: Okay. Thank you very much. Yes. Thanks. Thanks very much.
Operator: Your next question comes from George [Indiscernible] Capital Management. Please go ahead. Your line is open.
Unidentified Analyst: Yes. Good morning. I just wanted to -- you went over some of the investments in the US percentages on your website. I was just wanting to get -- and I think you mentioned seven of them how much has been invested year-to-date? And what's the carrying value on them and ex-DPM, ex-Dundee Precious Metals, kind of, the new investments? 
Bob Sellars: Well, I mentioned in my comments that the public securities were approximately $109 million at year end of which four million shares times $9.15 was DPM so back off $37 million from $109 million so call it $70 million of public invested stocks across the portfolio. 
Unidentified Analyst: Okay. And that's 12/31? 
Bob Sellars: Yes 12/31.
Unidentified Analyst: Okay. And how much was invested roughly in those? 
Bob Sellars: Since year end because we've also liquidated some of the other public securities -- but since year end we've invested probably another $22 million net which -- when I mentioned that our cash is now at the $67 million range. So, yes. So we've been investing throughout the year so.
Unidentified Analyst: Okay.
Bob Sellars: I'll look up my analysis here. Sorry, just give me a minute. We probably invested in -- we're probably through -- in the calendar year of 2020 somewhere around $32 million in investments that we bought in and on top of it but then we turned around and sold about $15 million. So net investments were probably about $17 million. 
Unidentified Analyst: Okay. Great. Thanks for thought.
Operator: Your next question comes from Brett Reiss from Janney Montgomery Scott. Please go ahead. Your line is open.
Brett Reiss: Thanks for letting me come back. The mining investments you've made I assume they're long duration long time horizon assets. They're not going to -- the payoff is not going to be short-term or a flip? 
Jonathan Goodman: On the -- I mean, I described two forms of mining investments that we make, Brett. I mean, the first one is the ones where we're buying pretty big positions in significant assets like Big River Gold. Those are definitely very long-term investments. We've also – last year, I mentioned, we put about a little over $12 million to work in a New Venture Equity Fund. And that's looking at newer mining ventures, where in a lot of cases, we take initial positions and things that aren't yet ready to make a major investment in and that fund has done very well. That one does tend to do some more of, I wouldn't say, trading strategy, but more of the investments are shorter term in the sense. And some of them become long-term investments. And as they become long-term investments, we would take a bigger position outside of that front. A good example, there was Moneta Porcupine, which we originally took a position in that fund. And then, as we did a lot more work and became much more comfortable we took a much larger position outside of that fund.
Brett Reiss: Right. But since so many of the things you own are just not generating cash, the funding of your corporate overhead and dividends on the preference preferreds over the next year to two years, will just have to come from opportunistic liquidations of the legacy portfolio is – is that the rule of thumb going forward?
Jonathan Goodman: Well, the rule of thumb – we have cash on hand of about, Bob said, $66 million plus Dundee Precious Metals of about $30 million, which by the way has about, I think at today's price over a 2% yield. So – and we've bought some Atico press. We've got a number of investments that do produce some cash and others that don't. So, it will be a combination of cash on hand, and some of the money that comes in from, where we are generating some cash, some cash flow and some asset sales.
Brett Reiss: Right. One last one, there's been a bit of a shuffling of the deck from some sales by some of your long-term institutional holders. Do you think that's just because the institutional holders don't want the concentration in what's becoming more of a natural resource dedicated company, or any thoughts on that, I'd appreciate.
Jonathan Goodman: Well, I mean, first, I would – we've talked – since I came back in 2018, I've been very consistent about the message. But we did a substantial issuer bid and many of our shareholders, including our long-term shareholders took advantage of that of the liquidity at that point in time. But the truth of it is, you'll have to ask the shareholders as to why they've changed their positions. And obviously, people who have bought the stock so there's other investors that have moved in. And as I said, I don't want to speculate on why institutional investors buy and sell stocks. They've got cash flows and other things to think about, and you'd have to talk to them.
Brett Reiss: Okay. Thank you for taking my questions. And Bob, once again good luck my friend.
Bob Sellars: Okay. Well, I will be here for one more quarter, Brett. So – 
Brett Reiss: Okay.
Bob Sellars: We'll talk soon, we'll talk again.
Brett Reiss: Thank you.
Operator: We have no further questions in queue. I'd like to turn the call back over to the presenters for any closing remarks.
Jonathan Goodman: Well, we don't have any real prepared closing remarks. I just want to say thank you for attending the call. And once again, as we know that these financials got out later than anticipated, so we would be happy to either set up a call at a later date with individual investors, or get your questions to Greg DiTomaso, and we will make every effort to give you guys a proper response. Thank you very much.
Bob Sellars: Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.